Operator: Good day, and thank you for standing by, and welcome to the Q2 2021 Tile Shop Holdings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]  I would now like to turn the conference over to Mr. Mark Davis. Thank you. Please go ahead.
Mark Davis : Thank you, Felicia. Good morning to everyone, and welcome to the Tile Shop's Second Quarter Earnings Call. Joining me today are Cabby Lolmaugh, our Chief Executive Officer; and Nancy DiMattia, our Chief Financial Officer. Certain statements made during the call today constitute forward-looking statements made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in our earnings press release issued earlier and in our filings with the SEC. Forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update these forward-looking statements. Today's call will also include certain non-GAAP measurements. Please see our earnings release for a reconciliation of those non-GAAP financial measures, which has also been posted on our company website. With that, let me now turn the call over to Cabby. Cabby?
Cabby Lolmaugh: Thanks, Mark. Good morning, everyone, and thank you for joining us today for an update on our business and a review of our second quarter financial results. We had an excellent quarter that was headlined by setting an all-time quarterly sales record. The $96.2 million of revenue reported this morning represents a 42% increase from the second quarter of 2020, a 4.5% sequential increase in revenue from our first quarter of 2021 and an 8.2% increase from the revenue in the second quarter of 2019, which is prior to the pandemic. While the current strength in the home improvement sector provides a nice tailwind, this success would not be possible without the strong execution of our entire Tile Shop organization. I'd like to take a moment to say thank you to our frontline sales force, our warehouse warriors, our distribution center team and our corporate employees. The incredible results we've been able to achieve would not have been possible without you. Our formula for success is built on doing 3 things incredibly well: curating an amazing assortment; inspiring our customers with in-store displays and digital content; and providing exceptional service. Ultimately, it's our people who are the key to our success. Our ability to help our customers navigate our assortment, design beautiful spaces and create an exceptional experience is rooted in having an engaged, knowledgeable and passionate team. The Tile Shop team has performed at a high level through the first half of 2021, and we're excited to invest in our team to keep our momentum going. This includes, first, we promoted several individuals within our retail sales and pro sales divisions. These positions will help drive the strategy, monitor execution and manage the day-to-day activities that are critical to achieving our goals within our sales teams. Second, we increased the number of regional sales leaders from 6 to 9. Our regional leaders are instrumental in attracting and retaining talent, training our field teams and ensuring best practices are followed throughout our stores. The expansion of the regional leadership team will help increase their frequency of touch points between our regional leaders in our stores, including more on-site visits. We expect that this investment will accelerate the improvements we've seen with respect to our retail execution goals and help develop our bench of up-and-coming talent that can move into store leadership roles in the future. Third, we added headcount in our stores, making it possible to expand our store hours, which we reduced due to the COVID pandemic. During the quarter, we increased the number of stores open on Sundays from 29 stores at the end of the first quarter to 38 stores as of the end of the second quarter. We plan to open an additional 17 stores on Sundays during the third quarter. We will continue to evaluate the results of these tests, perform additional tests and make adjustments to our store hours, as test results show that the incremental business generated by extending store hours supports the additional investment in store overhead expenses. These changes are exciting as they are expected to help grow sales within our existing store base and provide a foundation to support future store growth. At this time, we do not anticipate any further store openings in 2021. We are currently evaluating options for store growth as well as other internal initiatives to drive top line growth in 2022 and beyond. I'd now like to provide an update on the progress we've made with respect to our 3 top priorities for 2021. Our first priority is focusing on retail execution. We've continued to see improvements in our key metrics in this area. Our field teams are doing a nice job controlling discounting, improving our collection rate when we deliver product to our customers and keeping inventory shrinkage and damage losses in check. It's this attention to detail that helped us achieve a 130 basis point increase in gross margin rates during the first 6 months of 2021 when compared to the first 6 months of 2020. Our seasoned pro market managers continue to do a great job cultivating relationships with pros and sharing the benefits of our pro loyalty program. We've seen a nice increase in pro sales this year, and our year-to-date pro mix has eclipsed 60% of our total sales. Our second priority is to enhance our customers' online experience. Now it was just 1 year ago that we really ramped efforts to sell our products online in response to the COVID-19 pandemic. Our web orders in 2021 are on track to contribute to our overall sales performance at a level consistent with one of our top stores, and we're just getting started. We feel good about the direction we are headed and how our digital experience complements our in-store experience. In addition, our visualizer has been delivering an improved customer experience to inspire and help select products. During the second half of 2021, we're planning to refine the way we merchandise our products on our website. The changes we're making will make it easier to browse our assortment online, enhance the quality of the images on our website and provide recommendations of complementary products needed to complete a tiling project. Our third priority to refine our purchasing and distribution processes has remained a challenge. We continue to see elevated levels of back orders as our suppliers work through production challenges resulting from COVID-19. Our team is actively working with our network of international suppliers to secure delivery of back-order product. Additionally, global shipping capacity constraints have compounded challenges to source inventory in a timely manner. We've also seen an increase in the cost to ship products to the United States. In some cases, our rates have doubled from the inbound freight rates we've seen in the past. We have taken steps to increase our prices and plan to continue to adjust pricing to combat rising costs. Additionally, the diligent execution by our retail teams will continue to be critical to maintaining our strong gross margin rates. Overall, I'm very pleased with the results that we were able to generate during the quarter and the progress we're making on our priorities. I'll now turn the call over to Nancy, who will take you through the financial details. Nancy?
Nancy DiMattia : Thanks, Cabby. Good morning, everyone. As Cabby mentioned, our second quarter results were headlined by the record sales of $96.2 million. This was up 42% year-over-year, 4.5% sequentially from the first quarter of 2021 and 8.2% when we compare against the second quarter of 2019. Comparable store sales increased by 41.6% during the second quarter of 2021 when compared to the second quarter of 2020. We were very pleased with this top line performance, especially given that we continue to carry a larger-than-usual backlog at the end of the second quarter, due in part to product shortages stemming from manufacturing and shipping delays as a result of COVID-19. Customer deposits placed by customers to secure delivery of product in future periods also remain elevated over historical norms at $16.5 million on June 30, 2021, which was down slightly from $17.8 million at the end of the first quarter. Gross profit during the second quarter of 2021 was $66.4 million, an increase by $21 million when compared to the second quarter of 2020, largely due to the increase in sales. Our gross margin rate was 69.1%, 200 basis points higher than the second quarter 2020. The improvement in our gross margin rate in the second quarter of 2021 compared to the prior year period was primarily due to better pricing and an improvement in customer delivery collection rates. Sequentially, gross margin decreased 60 basis points from 69.7% during the first quarter of 2021. The sequential decrease in gross margin is due to an increase in product costs, in particular, inbound freight costs from international suppliers. Additionally, an increase in customer delivery mix contributed to the lower gross margin rate during the second quarter of 2021 compared to the first quarter of 2021. Our selling, general and administrative costs increased by $11.6 million during the second quarter of 2021 when compared to the second quarter of 2020. The increase in selling, general and administrative costs was due to a $6.2 million increase in variable selling expenses; a $1.5 million increase in transportation cost to move inventory between our distribution centers and our stores; a $1.5 million increase in wages, largely due to an increase in headcount; a $0.9 million increase in consulting and temporary labor costs; and a $0.5 million increase in marketing expenses. Sequentially, SG&A expenses increased $1.5 million from the first quarter of 2021 to the second quarter of 2021. The majority of the increase was driven by higher levels of compensation expenses and transportation costs to move products between our distribution centers and our stores. Net income increased $6.3 million from a net loss of $0.8 million during the second quarter of 2020 to a net income of $5.5 million during the second quarter of 2021. Adjusted EBITDA increased $8.8 million from $6.6 million during the second quarter of 2020 to $15.4 million during the second quarter of 2021. The adjusted EBITDA margin rate improved 620 basis points from 9.8% during the second quarter of 2020 to 16% during the second quarter of 2021. Diluted earnings per share increased $0.13 from a loss of $0.02 during the second quarter of 2020 to earnings of $0.11 during the second quarter of 2021. During the second quarter, we relocated 1 store in Madison, Wisconsin. As of the end of the quarter, our total store count remained at 143 stores. As Cabby indicated, we do not plan to open any additional stores in 2021. During the first 6 months of 2021, we generated operating cash flow of $42 million. This is strong evidence of the cash-generating power of our model. This has been used to fund $6.2 million of capital expenditures over the same time frame to finish the build-out of the new store opened during the first quarter, relocate 1 store during the second quarter, remodel existing stores, invest in information technology and enhance merchandising assets. We ended the quarter with $44.8 million cash balance and no debt. As I close, I wanted to touch on a topic that we announced on June 25, that's a little more personal. After spending over 30 years working with companies in the hard surface flooring industry, I've made the decision to retire. When I came to the Tile Shop 2 years ago, I couldn't have imagined we'd go through so much in such a short span of time, and I'm proud of all we've been able to accomplish during my tenure. I'm confident that Cab and the rest of the executive leadership team will continue to guide the company down the right path. The company has launched a search process, and I'm committed to assist in an orderly transition once the position has filled. With that, Felicia, I'll turn the call back to Cabby.
Cabby Lolmaugh: Thanks, Nancy. I also wanted to make a few comments regarding Nancy's retirement. Nancy has been a great partner to me and our company, and she will be missed. Her deep intimate knowledge of our space has been awesome, especially during these unprecedented times. On behalf of our Board and our entire company, thank you, Nancy, for everything you have done for us as we execute our growth strategy. With that, let's move to Q&A.
Operator: [Operator Instructions] Our first question comes from Jeff Moore of Burr Oak Capital.
Jeff Moore: Yes. I was curious about the deposits that you guys have. I think you said it was just under $17 million in customer deposits. How much revenue does that represent over however long it takes to get the supply chain issues resolved?
Nancy DiMattia : That varies actually depending on the product mix that is in that back order. Our margins varied depending on whether it's stone or it's material. So it's a little difficult to say, and that changes on a daily basis given on the orders that are in process and currently waiting for fulfillment.
Cabby Lolmaugh : Yes. On top of that, Jeff, retail customers put 100% down, where pro customers depending have small deposit or no deposit based on their tiers. So it does impact at different level according to the customer type. So it's obviously going to be a little bit more than the deposit itself.
Jeff Moore: So in terms of the mix of that deposit on your balance sheet, how much of that would be pro customers? And how much of that would be just a regular home remodeler that's buying it for their own house?
Cabby Lolmaugh : Yes, it's a mix. I mean, right now, if you listen to our prepared remarks, I mean, we've eclipsed 60% is pro business. So we have 40% retail. And so you think that they have to put 100% down, and you can do the math. So it is higher than that, but it's not substantially higher.
Jeff Moore: Okay. Also, last conference call, we -- I asked you about your borrowing facility and whatnot. And I know it's got a long-dated maturity and everything. There's nothing drawn on it. But I was curious if you guys have looked into other borrowing facilities that have lower interest rates or more attractive terms or any things like that? And what updates you could provide on that?
Nancy DiMattia : We continue to have a great relationship with our existing bank. And we're always evaluating our options and what's going to produce the best performance for us and for our shareholders. But at this time, there's nothing new to update or share.
Jeff Moore: Okay. And then what about investigation of returning capital to shareholders?
Nancy DiMattia : That's something that's come up a lot. We continue to be really pleased about the cash flow that we're generating. And frankly, I think having a cash cushion during these unusual times that we're in today is really a good thing. Keep in mind that we've only been debt-free really for 2 full quarters. This isn't something that we feel a need to rush on, but we do continue to evaluate our options, and certainly, we'll keep our shareholders in mind as we do so.
Jeff Moore: Okay. And then one last question. In terms of valuations for floor covering companies and whatnot, I'm sure you guys have your finger on the pulse of M&A. What kind of multiples and valuations are you seeing for other companies as they kind of get folded up into larger entities?
Nancy DiMattia : We're really not looking to discuss M&A or other companies at this time.
Jeff Moore: Any particular reason?
Nancy DiMattia : It's just not part of a strategy that we're prepared to discuss for competitive reasons. And again, it really varies.
Operator: Our next question comes from Jon Hollander of CAG.
Jon Hollander: Great quarter. Just a few quick questions. One is I wanted to chat about the store remodeling process. How many stores have been remodeled? And how many do you expect to be remodeled over the next 12 months?
Cabby Lolmaugh : Well, thanks for the question. Yes, we want to remodel. We came out with a certain list of stores at the beginning of the year to remodel and enhance. Now we do analysis based on the tenure of the store, the segment of the customer, the dates of the vignettes and how much we want to spend on these remodels. And we've remodeled around a half dozen this so far this year. We've scaled back a little bit just due to some of the inventory and shipping constraints that we're experiencing, but we're going to continue remodeling some stores throughout the remainder of the year, over 10, if not a few more, depending on how things shake out here in the next few months.
Jon Hollander: I'm sorry, was that 10 additional or going from 6 to 10?
Cabby Lolmaugh : Hopefully, 10 additional, but we're going to say 10% right now, but we'll see as product continues to come in through the multiple ports.
Jon Hollander: And what type of returns or lift do you see on the store remodel?
Cabby Lolmaugh : We've done the analysis on this. And depending on how much we invest, it can be anywhere from 2 to 4 years depending if we're investing a smaller amount to a larger amount or a full store remodel. If we're doing just a scrape on some vignettes, we can see the return quite quickly. But if we're investing a substantial amount of the remodel, it could take 2 years.
Jon Hollander: And what is the impact on the employees and the manager of the local store after you do the remodel?
Cabby Lolmaugh : From beginning to end, it's exciting. It raises morale. I was a manager for 15 years and a salesman. And when you have remodels going on in stores, the customers get excited. They actually go around and watch this being done. The staff's excited to get new product in the stores. We try to do any demo or anything that's disruptive to the business during the evening hours and setting and grouting of tile and applying fixtures during the day. So it's not disruptive at all, and it creates a lot of excitement.
Jon Hollander: Well, I will put in a shameless plug for the Glen Burnie, Maryland store. If you could do a remodel there would be very -- it will be very good.
Cabby Lolmaugh : I appreciate it. I'm sure they're happy to hear that, too. So thank you.
Jon Hollander: And a follow-up question. In your press release, you track your return on capital employed metric. And I was hoping to understand better why this is the metric that the company tracks.
Mark Davis: This is Mark. We feel that the return on capital employed metric is a very good metric to assess the health of the business as well as the quality of the earnings that we're able to produce on our capital over time. We do feel that seeing continued improvement in this metric is helpful, but that's the primary return on capital metric that we think is most important to us as we evaluate the health of our business.
Jon Hollander: Are management bonuses at all tied to this metric?
Mark Davis: No.
Jon Hollander: Okay. This metric has dramatically increased, so congratulations for that. Last quarter, it was 7.2%. This quarter is 13.9%. And when doing any modeling, it's obvious why because we're taking out 4 quarters from 2020 and adding in these dramatically powerful quarters in 2021. What -- how does the metric -- I mean, how does management feel about the different levels? Right now, you're at nearly 14%. What happens if this number goes higher? Does this change in your management's behavior?
Mark Davis: I think the easiest way to answer that question is we feel really good about the progress we've made over the course of the last year, but we think that we can do better. That doesn't necessarily change our behaviors, but we're continually striving to get a better return as we move forward.
Jon Hollander: Okay. And finally, just about inventory and shipping delays. Could you comment a little bit about the current delays of your orders from your international suppliers? Have these delays shortened at all? Have they lengthened? Has there been any impact of Delta variant with what's going on in Asia right now? Just any qualitative commentary would be helpful.
Cabby Lolmaugh : Thanks, Jon. Yes, it's been a struggle for almost a year -- over a year now. So what we're seeing though are our vendor partners are able to produce the product. The people are back at work all over the world. And they're getting the product made. We find a container shortage is continuing to be a struggle. But once we get the containers on the ships, the ships are sitting at ports. And you have longshoreman strikes at the ports of Montreal. We got fires in the Northeast that are closing rail lines. But I mean, there's always going to be challenges in logistics. But the good news is, we're still continuing to receive a lot of product more so today than in the past 9 months. So things are slightly opening up. We're able to get a lot of our back orders in our DCs, but we're also opening a lot of businesses as well. So as we receive back orders, we're continually creating some new ones. When you have 6,000 SKUs, it's a balancing act, who can ship what and when is it going to arrive, at what port and what challenges are we going to incur not only at the ports, but in rail, trucking and everything else. But the good news is it's getting better.
Jon Hollander: And do you lose any deposits because of these delays? Or are customers not able to cancel? I just wanted to understand how that rolls through.
Cabby Lolmaugh : Yes. Customers can cancel whenever they want. We're very lenient with our customers. And I think what I'm seeing -- I'm a customer myself. And I'm waiting on furniture. I'm waiting on certain things for my own home. Our customers are seeing this. They're remodeling. They're not just buying tile. They're buying cabinets or buying windows. They're buying siding, and everyone is experiencing the same thing. So what I've seen and heard from our leadership in the field and when I talk to customers, they're understanding of the current challenges that everyone is facing. So we're not seeing any elevated cancellation rates. So I don't think that's a concern. If they wanted to, they could, but I'm not seeing that right now.
Jon Hollander: And then in terms of deposits, where is the best place to track that in the financials?
Nancy DiMattia : The deposits are included in the cash that you'll see on our balance sheet. Right now, we've got $16.5 million for part of the cash that is from deposits.
Jon Hollander: And is that broken out like in the Q? Because just obviously in the press release, I'm only seeing the $44.75 million and your restricted cash amount.
Mark Davis: This is Mark. It is broken out in the Q. The actual deferred revenue that we have associated with customer deposits is in other accrued liability, and we have a breakdown of other accrued liabilities as part of our Q.
Operator: Our next question comes from Jeff Moore of Burr Oak Capital.
Jeff Moore: I was curious about the B. Riley Summer Summit that you guys are going to be attending on August 18 and 19. Are you all going to be doing some sort of presentation that will be made public?
Mark Davis: Jeff, this is Mark. We're not necessarily going to be making a presentation there that will be made public, but certainly happy to meet with folks that have questions as our Investor Relations line is always open.
Jeff Moore: Okay. And what -- I guess, kind of what color the decision to attend that? It seems kind of like a large directional change that the company has made in kind of the communications or attendance of these conferences. Just a little bit out of the ordinary, right? I personally think it's a great thing that you all are attending, but I was kind of curious, what prompted that? And kind of what's some of the thinking was for that?
Cabby Lolmaugh : Jeff, this is Cab. I'm really excited to attend the conference and meet a bunch of people and talk about the Tile Shop. And we want to increase transparency to our shareholders. As we've relisted on the NASDAQ, I think it's important that we come back and do the Q&As and hit some conferences and just share the excitement that I have about our company and where we're going to be going. So that's pretty much it.
Jeff Moore: Okay. What are some of the other conferences you guys have kind of looked at and we might expect to see you all doing presentations or doing Q&As at in the future?
Cabby Lolmaugh : We'll let you know when we book them. There's a few out there that we're analyzing, but we'll let you know, Jeff. None at this time.
Operator: Our next question comes from David Kanen of Kanen Wealth Management.
David Kanen: Congratulations. I appreciate you taking my questions. First, I'm traveling. I don't even have WiFi, so many -- some of my questions may -- they may be in the press release, or they may have been covered. But in terms of the deposits, customer deposits, Nancy, could you call out sequentially, if any, the change from Q4, Q1 to Q2? That would be helpful to me.
Nancy DiMattia : I don't know off the top of my head exactly what it was for Q4. It was $17.8 million in Q1, and we're at $16.5 million in Q2.
Cabby Lolmaugh : So David, I believe we're going to --
Nancy DiMattia : I beg your pardon.
David Kanen: So it's basically flat. So basically, it was flat with...
Nancy DiMattia : Yes. There's a slight decrease. It is fluctuating and has been over the last 3 quarters. And it goes back to some of what Cabby had mentioned earlier. It depends on what product is coming in, given the availability for transportation internationally. And as we fulfill some orders, other products will then go on back order. So it does fluctuate somewhat.
David Kanen: I see. Okay. So as the lead times compress as you can ship product quicker to the customer, that number should work its way down and then ultimately move over to revenue, correct?
Nancy DiMattia : Yes. Yes, that's correct.
David Kanen: Okay. So in general, are you seeing that trend where you're able to get product to customers, some of the supply chain issues are improving, not about resolving but are they improving?
Nancy DiMattia : They are improving, while they're definitely not resolved yet. But it looks like we're starting to trend in the right direction.
David Kanen: Okay. And then in terms of the growth, Cabby, and I know that you guys spoke about this, but I missed it, unfortunately. How much of the growth is attributable to pro versus retail customer? And then if you could just comment in general on the levers that you see for that were effective in driving business during the quarter for growth.
Cabby Lolmaugh : Yes. We anchored back, David, to our strategies this year, which was retail execution, enhance our customers' online experience and really work on our supply chain. All those things impacted our growth. I mean, we're pulling levers in all avenues when it comes to impacting our business. So yes, our pro business has grown. It eclipsed 60% as in my prepared remarks. And when you can grow your pro business, hopefully, you can grow your retail that comes with it. So I don't want to get into specific numbers, but I think we're doing the right things today, and we're going to continue to do these -- the things that we've started, and that will continue to impact the business in a positive manner. But growth is all we talk about here. So it's a good question.
David Kanen: Okay. Well, congratulations. You've done very good job. I'm very pleased as a shareholder. I guess, I'll just leave you with the comment that, obviously, you're having all that cash sitting on the balance sheet, returning almost 0 probably is not a good strategy for the long haul. And I know previous caller asked about it or made a comment. I would just like to share my view that -- and I'm sure you guys are working on this. I have no doubt you guys -- you have a very good Board and smart management. I'd like to see that cash return to shareholders rather than just sit on the balance sheet, unless you have a high ROI activity for it. It seems like that would be wise. So just keep up the great work, and hope to chat next quarter.
Cabby Lolmaugh : Thanks, David.
Operator: [Operator Instructions] I'm showing no further questions at this time. I'd like to turn the call back over to Mark Davis for any closing remarks.
Mark Davis : Thank you for listening to our earnings conference call. We anticipate filing our Form 10-Q later today. We look forward to providing our next update in November. Thank you for your interest in the Tile Shop, and have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect.